Operator: Greetings, and welcome to the Urban Edge Properties' Third Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Areeba Ahmed, Investor Relations Associate. Thank you. You may begin.
Areeba Ahmed: Good morning, and welcome to Urban Edge Properties' Third Quarter 2025 Earnings Conference Call. Joining me today are Jeff Olson, Chairman and Chief Executive Officer; Jeff Mooallem, Chief Operating Officer; Mark Langer, Chief Financial Officer; Heather Ohlberg, General Counsel; Scott Auster, EVP and Head of Leasing; and Andrea Drazin, Chief Accounting Officer. Please note, today's discussion may contain forward-looking statements about the company's views of future events and financial performance, which are subject to numerous assumptions, risks and uncertainties, and which the company does not undertake to update. Our actual results, financial condition and business may differ. Please refer to our filings with the SEC, which are also available on our website for more information about the company. In our discussion today, we will refer to certain non-GAAP financial measures. Reconciliations of these measures to GAAP results are available in our earnings release and our supplemental disclosure package. At this time, it is my pleasure to introduce our Chairman and Chief Executive Officer, Jeff Olson.
Jeffrey Olson: Great. Thank you, Areeba, and good morning. We delivered another strong quarter with FFO as adjusted increasing 4% over the third quarter of last year, bringing our year-to-date growth to 7% compared to the first 9 months of last year. Same-property net operating income increased by 4.7% for the quarter and 5.4% year-to-date. Last week, we completed the $39 million acquisition of Brighton Mills, a 91,000 square foot grocery-anchored shopping center located less than 1 mile from Harvard Business School. The property is situated in a highly desirable infill neighborhood of Boston that has experienced significant growth driven by new multifamily developments. The 3-mile trade area comprises 449,000 people with average household incomes of $170,000. The purchase was funded with proceeds from the sales of Kennedy Commons and McDade Commons, both structured as 1031 exchange transactions. Those 2 properties were sold at a 5.4% cap rate with a 5-year forecasted NOI growth of only 0.4%. We acquired Brighton Mills for a similar cap rate in the mid-5s, but we expect annual NOI growth will exceed 3%, primarily through contractual rent increases. The property also has tremendous demand for residential and commercial development, as several parcels with the same zoning have been approved or are already under construction. It is one of the few shopping centers in the market with surface parking. Our price of approximately $5 million per acre is well below the $9 million to $10 million per acre land values in the immediate area, making this a textbook covered land play that delivers solid current returns and meaningful growth as we wait for the leases to expire so that we can eventually extract even more value from the land. Our Boston portfolio now includes 7 properties with the value approaching $500 million, representing about 10% of our company's value. Five years ago, this region accounted for less than 2% of our value. Over the last 2 years, our capital recycling strategy has resulted in nearly $600 million of acquisitions of high-quality shopping centers at an average 7% cap rate, while disposing of approximately $500 million of noncore assets at a 5% cap rate, a disciplined approach that has meaningfully upgraded our portfolio quality and long-term growth rate. The acquisition market remains highly competitive, driven by more institutional capital on the equity side and tighter spreads from traditional banks on the debt side. Given our better-than-expected results, we are raising our 2025 FFO as adjusted guidance by $0.01 per share at the midpoint to a new range of $1.42 to $1.44 per share, representing 6% growth over 2024 at the midpoint. Looking ahead, we expect shopping center fundamentals to remain strong, driven by favorable supply-demand dynamics and record-low vacancy rates. This strength is already evident in our year-to-date leasing spreads, which averaged 40% on new leases and nearly 10% on renewals. In closing, I want to recognize our exceptional team. Their dedication and focus continue to drive our success. I'm grateful for their commitment to delivering another quarter of strong results. I will now turn it over to our Chief Operating Officer, Jeff Mooallem.
Jeffrey Mooallem: Thanks, Jeff, and good morning, everyone. We continue to make meaningful progress across leasing and development, reinforcing the strength of our portfolio and our ability to drive long-term value creation. Leasing activity in the quarter totaled 31 deals aggregating 347,000 square feet. This included 20 renewals totaling 265,000 square feet at a 9% spread and 11 new leases totaling 82,000 square feet at an outsized 61% spread. That spread was primarily driven by new anchor leases with HomeGoods and Ross. These national retailers took spaces that were previously leased to now bankrupt companies, reinforcing what we have been saying for the past several quarters. When we have an opportunity to get boxes back in our portfolio, we are usually able to generate very strong rent spreads. Our overall same-property lease rate now stands at 96.6%, a 20 basis point decline from last quarter, and our anchor lease rate is at 97.2%, also a 20 basis point decline. We anticipated this decrease due to the lease rejection of our at-home store at Ledgewood Commons. The at-home vacancy alone had a 60 basis point impact on leased occupancy, but its impact on NOI is much less, as it was a single-digit rent that we expect to replace with a strong renewal spread. To put it another way, the deals with HomeGoods and Ross signed in the third quarter will contribute almost twice as much base rent as at-home did from this box in 60% of the square footage. We also executed 9 new shop leases in the third quarter, totaling 27,000 square feet, achieving a same-space cash spread of 42%. Our shop occupancy rate remained flat from the prior quarter at 92.5%, in part because we continue to look for ways to create new shop space where economics justify it. For example, this quarter, we split a vacant 11,000 square foot space in Millburn, New Jersey, and turned an underperforming anchor space into more desirable shop space. We've already executed a lease on about 40% of this space at a very healthy spread, and we expect a similar return on the remainder of the space. On the development front, we stabilized one project with the opening of Bob's Discount Furniture at Newington Commons 2 quarters ahead of schedule, bringing our rolling 12-month total to $49 million of projects stabilized at a blended yield of 17%. We also activated 3 new redevelopments this quarter with a gross investment of $8.4 million. Our active redevelopment pipeline now totals $149 million with a strong 15% projected yield. We continue to convert our signed not open pipeline, which now stands at $21.5 million and represents 7% of NOI into rent commencements. This quarter, we commenced $5.6 million of annualized gross rents from tenants like Starbucks, Sweetgreen, Dave's Hot Chicken and our first Tesla Service Center. Today, we are adding to the rent roll our second Trader Joe's location in Woodbridge, New Jersey, which opened for business this morning. I want to wrap up by sharing some insight into the overall leasing market and the health of our national retailers. In the past 45 days, Scott Auster and I have been out on the road. We have visited 8 different national retailers in their offices to discuss overall sales trends, capital plans, store performance and opportunities to do more together. The takeaway has been extremely positive. We heard good news about operating metrics and good news about the strength of our Northeast corridor market versus other parts of the country. Nearly all are in clear expansion mode and are prepared to pay the rents needed to make that happen. With a shortage of good space available for these retailers in our markets, they are encouraging us to take back space that may be under-leased, where we can, and we're busy studying the best ways to do this at some of our bigger properties like Bergen, Yonkers and Cherry Hill. This has always been and continues to be a business of both short-term results and long-term value creation. We believe today's economic climate allows us to achieve both. With that, I'll turn it over to our CFO, Mark Langer.
Mark Langer: Thank you, Jeff, and good morning, everyone. We're pleased to report another excellent quarter, underscored by strong earnings growth and sustained leasing momentum. And the third quarter FFO as adjusted was $0.36 per share and same-property NOI, including redevelopment, increased 4.7% year-over-year. This growth was driven by rent commencements from new tenants, higher net recoveries and higher collections on past due receivables. FFO as adjusted, also benefited from lower recurring G&A. On the financing front, we secured a new $123.6 million 4-year nonrecourse mortgage on Shoppers World at a fixed rate of 5.1%. A portion of the proceeds were used to pay off our $90 million line of credit, which carried an interest rate of 5.5%. The remaining proceeds are expected to be used towards capital investments and general corporate purposes. Debt markets for retail assets continue to strengthen as capital flows from CMBS, life companies and especially banks have increased, which has resulted in spreads compressing 30 to 40 basis points since the first quarter. That is in addition to the 20 to 30 basis point decline in base rates. Our liquidity position remains very strong at over $900 million, including $145 million in cash and no amounts drawn on our line of credit. Outstanding indebtedness consists of 100% nonrecourse fixed-rate mortgage debt. Our net debt-to-annualized EBITDA was 5.6x at the end of the quarter, which provides us with the flexibility to capitalize on future growth opportunities. Looking ahead to the remainder of 2025, we are raising our FFO as adjusted guidance by $0.01 a share at the midpoint, implying fourth quarter FFO of $0.36 per share. This guidance increase reflects better-than-expected results year-to-date from new tenant rent commencements, year-end CAM reconciliations and lower G&A. Our expectations for same-property NOI growth, including redevelopment guidance, have also been increased to a new midpoint of 5.25%, up from the prior midpoint of 4.6%, implying growth in the fourth quarter of approximately 4.5%. As Jeff mentioned, our $21.5 million SNO pipeline will continue to contribute to future growth with $5.6 million in annualized gross rent already commenced in the third quarter and another $300,000 expected in the fourth quarter. In summary, we are pleased with the track record of execution we have generated over the past 3 years. We now expect that our FFO as adjusted CAGR will be nearly 6% during this time, driven by generating average same-property NOI growth of 4.3%. This growth was achieved while improving our balance sheet as acquisitions were funded primarily with the sale of low cap rate, low-growth assets. We have significantly improved the quality and durability of our cash flow as the addition of strong credit, highly desired anchor tenants have come online, and we have increased shop occupancy to nearly 93%. As we look ahead, we remain focused on driving long-term growth while maintaining a strong track record of prudent capital allocation. With that, I'll turn the call over to the operator for Q&A.
Operator: The first question is from Michael Goldsmith from UBS.
Michael Goldsmith: Maybe starting with this acquisition, it sounds like there's some better opportunity for growth and then also opportunity for redevelopment over time. So just to get a better sense of the time line for that, are you able to kind of size when the leases expire or so that you could start to monetize some of the opportunities at that site?
Jeffrey Olson: Yes. I mean, literally, we see over the next 10 years, there's term on a lot of the leases. I think all the leases expire in 22 years. So we definitely have some time. But over that 22-year time period, we feel very confident that we'll exceed 3% NOI growth based on everything in place. And maybe we'll get to it sooner, if we're able to negotiate a deal with the current tenants, but I think I said in my comments, it's a textbook covered land play. Indeed, it is. If we could own 72 properties like this, I think we'd all be very happy here. By the way, I'm very happy to see you covering the stock, Michael. When I read the report this morning, UBS, as you know, I was a former analyst at UBS. I was looking for my name on the report. But I have to chuckle because my name tied to a neutral rating on Urban Edge properties wouldn't. Anyway, we hope to get you there someday.
Michael Goldsmith: We'll work on that. And then, as a follow-up, just as we look forward, can you provide a breakdown of some of the onetime items you recognized in 2025 so that we could strip that out of the 2026 run rate? And then also, I think real estate tax and G&A have been benefits this year. So how can we think about those as we look forward?
Mark Langer: Yes. I think, Michael, the things that we've talked about on some prior calls and to answer your question, in terms of some items that we don't see recurring at the same levels, we had some onetime collections that related to some very old receivables, including, as you heard in my prepared remarks, this quarter, we had some. So I think for the full year, we believe that's about $2 million and then probably about $1.5 million related to some of the CAM recovery billings that we've had that related to some old prior periods as well. So I think those are the 2 biggest things I would highlight.
Michael Goldsmith: Yes. Anything on real estate taxes and G&A going forward?
Mark Langer: No, real estate taxes, I feel good. Our run rate, we have a repetitive process in place where we challenge and appeal those where we believe it's warranted. And to the extent we had anything that was really material or outsized, Michael, we would call your attention to it, but I don't see that. On the G&A front, I can tell you, we've worked very hard over the last few years to continue to do everything we can, whether it's rightsizing the enterprise, looking at efficiencies. And so you are seeing a downward trend that is what's tied to our guidance. There will be some reversion next year just because headcount will stabilize, we'll have normal inflationary increases, but I don't see it having any material move.
Operator: The next question is from Michael Griffin from Evercore ISI.
Michael Griffin: Jeff, maybe you can talk about the opportunity set within Shoppers World. I know you recently got the mortgage refinance there. If I remember correctly, there's a Kohl's box that you could be looking to do something with, whether it's redevelopment into other uses or things like that. But maybe give us a sense of what the opportunity is there and what we could be seeing in the hopper for that property.
Jeffrey Mooallem: Michael, it's Jeff Mooallem. I'm going to try to take that one, if I can. Yes, I mean, Shoppers World, we acquired it in October of 2023. It was our first sort of really meaningfully large acquisition in Boston. We were very excited to get our hands on it. As you know, it's kind of one of the most unique and irreplaceable properties in that trade area. And we acquired it all cash at the time, which was a wise move because 2 years later or a little less than 2 years later, we were able to secure the financing that Mark referenced. Important to note that in that financing, the Kohl's parcel is not included. So we do have some flexibility to work with the Kohl's parcel alone without impacting the mortgage that we took on the main Shoppers World parcel. As we get into the Kohl's conversation, we'll let you know. We do have an agreement with Kohl's, where we have the ability to get that back early if we want to. So we have been studying some different ways to work with the building. We've looked at some mixed-use opportunities. We've looked at retenanting it to other tenants. We feel confident that we're going to be able to do something accretive and positive there, not just economically, but for the overall benefit of the asset. So I would say that we're very excited for this sort of next generation of Shoppers World. There's good demand for some of the other space as well. We don't have any more space left at the moment, but we're trying to find ways to increase the main Shoppers World parcel as well. And on the Kohl's piece itself, stay tuned, but I think hopefully, early next year, we'll have something cool to announce there.
Michael Griffin: Jeff, that's some helpful context there. And then maybe you can give a little bit of color around the rent spreads in the quarter, particularly as it relates to the new leases. It looks like it was up about 60% year-over-year. Was one lease skewing that, that maybe absent that, it's probably in the 20% or 30% range? Or is that really indicative of, I guess, the demand that you're seeing within the new lease part of the leasing pipeline?
Jeffrey Mooallem: I would love to tell you that 60% rent spreads are a consistent run rate going forward, but we did have a unique situation. I mean, first of all, with our size, the data set is somewhat limited. So you got to take that into account. In the third quarter, though, we did sign anchor leases with one with HomeGoods and one with Ross in spaces that were previously occupied by Big Lots and buybuy Baby. So they were sort of the byproducts of those bankruptcies. And if you recall, we've been saying now for a couple of years, boy, if we get some of the space back, we're pretty sure we can make a lot of money on it. And that's the proof right there. I mean, you're talking about rent spreads on those 2 boxes alone that really drove that 60% number. There were some positive shop leasing spreads as well, but those 2 deals, in particular, were what got us into that 60% range. Going forward, I think it's reasonable to assume that we'll be comfortably in the double digits, and we like to be north of 20%, but probably not 60% every quarter.
Michael Griffin: And Jeff, just real quick, what is the expected time frame between executing those leases on those backfilled anchor boxes versus when the new tenant is going to commence occupancy?
Jeffrey Mooallem: That's part of the reason, Scott and I were out on the road the last 45 days, was to try to reiterate to our retailers how much we'd like to get them open as fast as possible. And what I would tell you is when two -- both parties are motivated, it can happen pretty quick. We'd love to get HomeGoods and Ross in those cases, both open for business in 2026. We're confident that one of them will open probably in the first half of the year and the other one, hopefully, in the second half of the year.
Operator: The next question is from Floris Van Dijkum from Ladenburg.
Floris Gerbrand Van Dijkum: Jeff, Jeff Mooallem, that is. I had a question on the comments you made about splitting an anchor box. Can you talk about the opportunity to create more shop space in your portfolio? How many more opportunities are there available to take anchor and split it? And what are the returns for that kind of capital?
Jeffrey Mooallem: Floris, it's a great question. I mean it's something we're studying all the time. In this particular case, it was a relatively small box, only 11,000 feet, but it qualifies as an anchor under our 10,000 square foot threshold. And it was a fairly logical and easy split, and we were able to get a great national tenant, a fitness user to take the corner piece and that will really drive the leasing of the rest of it. If we had half a dozen or a dozen more of those, we would be doing them right now. A lot of the anchor space that we have left, given our high anchor occupancy is somewhat more challenged space, whether it's single or mid-teen rent kind of space. And if it's deep, it does make it challenging to turn it into shop space. So a lot of our anchor space, like if you look at the at-home in Ledgewood, for example, which we talked about, probably gets cut up into 2 or 3 anchor tenants and not into a lot of shop space. Having said that, this is something we talk about literally every week in our development and our leasing meetings, where else can we create more shop space? We have great demand for shop space across the portfolio. I mentioned some of the names of some of the shop tenants we've opened this quarter, Sweetgreen, Starbucks, Cava, the fitness deal we just signed in Melbourne, these are tenants who can pay rents in the 40s, 50s, 60s, and the economics start to make sense to create shop space when we can.
Jeffrey Olson: It's not just shop space, too, right? It's also pad space, which...
Jeffrey Mooallem: And pads, yes.
Jeffrey Olson: They were valuable. The rents are so much higher.
Jeffrey Mooallem: Right. So we're creating a pad, maybe two pads at two different shopping centers. We think that there's an opportunity set there, maybe 4 or 5 of our assets could get additional pads for multi-tenant shops or even for a single-tenant food user.
Floris Gerbrand Van Dijkum: Great. Maybe a follow-up question. Talk a little bit about the acquisition environment, and also maybe the ability to fund acquisitions as well. I know that New York and Boston are pretty competitive markets. I would imagine it's pretty tough to find a product that fits your criteria. Maybe talk a little bit about what you're seeing, what's out there, and your appetite for transactions going forward?
Jeffrey Olson: Look, Floris, it's a very competitive market. There are a lot of new players in the market, whether it's private equity, family offices or institutions. And their recent interest is really driven by more and cheaper debt availability. And then as you know, shopping centers also offer higher cap rates than some of the other product types, including resi, industrial and data centers. So what's attractive to so many is that out of the gate, shopping centers offer attractive leverage returns when you buy the asset and then durable and growing cash flows over time. So the sector has a lot of interest from a lot of people, and it's been building up over the last year or so, and now we're starting to see that in the bids. We're underwriting about $200 million of assets right now. We have nothing under control. I think we've lost 3 shopping centers in the last 90 days that we liked, but we were maybe the #2, #3 or #4 bidder. And we ended up losing probably by 25-ish basis points, which we're happy to do because we're going to be disciplined. We're also in the market with certain centers that we own, trying to test that market to see if we can achieve our pricing. And if we do better in that regard, then maybe we're willing to pay up a little bit more for something else, but we really want to pair most of our acquisition activity with disposition activity. I think we've been the leader in capital recycling within the space over the last 24 months, and we hope to continue that to the extent that we can.
Operator: The next question is from Michael Gorman from BTG Pactual.
Michael Gorman: Jeff, maybe kind of continuing on with that right now. I'm kind of interested when you think about Brighton and some of the other deals that you've done, they're a little bit nontraditional, right, whether it's covered land play, redevelopment opportunity. And I'm curious, do you see the same level of institutional competition for those maybe nontraditional shopping center assets that have additional upside for a sophisticated operator? Or is that kind of the niche where you're finding more success right now because the institutional capital can't go there as easily?
Jeffrey Olson: I think it depends on the deal. I mean, at Brighton, there were lots of people that were interested, I think at least a dozen. So -- because that one was fairly easy to understand. There are only 5 tenants there and the land values are what they are, but yes, we do have a platform that is seeking value-add opportunities that does limit the buyer pool out there. I do think we're differentiated in that regard. Is it helping? Yes, I think it's helping on the margin.
Michael Gorman: Okay. Great. That's helpful. And then maybe just on the tenant environment for a minute. Jeff, you highlighted some of the small shop tenant demand and rattled off 3 food concepts. We saw a stat recently floating around that almost 50% of food spending now is outside of the home. I'm wondering how you balance the demand you're seeing from the restaurant side of the business with what you're seeing from your grocers, which also continue to have strong sales. I mean, how does that dynamic play out? Is there any end to the demand for the food concepts? I'm just curious how you see that trending in your portfolio.
Jeffrey Mooallem: Michael, good to hear you on this call. Yes, this is something we're constantly thinking about and talking about like at what point is too much with restaurant space. I'll give you an example of Bergen Town Center, which you know we have a restaurant space that was a sticky fingers that went Chapter 11 about 6 months ago, and we have lots of great conversation about how to retenant that space, and we're actually thinking about re-tenanting it with a boutique fitness operator who's stepping up to a very aggressive rent because we are adding so many more restaurants at that center that we are sensitive to over fooding our properties, it's something we're worried about. As it relates to the grocers, I can just tell you that when you talk to Trader Joe's, when you talk to Wegmans, when you talk to Walmart, when you talk to Sprouts or Aldi, so really all ends of the spectrum from traditional grocers to big box and discounters to the more specialty guys, they are still looking for stores, and they're still in expansion mode. So we're not seeing a lot of push-pull tension between adding grocers versus adding QSRs. What we are seeing and what we're very sensitive to is modifying and limiting the amount of QSRs to give everybody a chance to be successful. If you look at the data that's come out of Cava and Sweetgreen and Chipotle and companies like that, we probably will see that business maybe slow down a little bit. I don't think they'll be opening stores at the same velocity they have in the last 3 years, but we're still very comfortable doing deals with all of those tenants.
Michael Gorman: Great. That's helpful. And then maybe just last one for me. Whether it's on the investment side or the discussions with tenants, has there been any shift in tone or demand or preference around the D.C. Metro area, understanding it's a long-term business, but with some of the volatility here in the near term that could continue for a couple of years, has there been any shift there, like I said, either on the institutional capital demand side or on the tenant side in that MSA?
Jeffrey Mooallem: I mean, I can tell you from the tenant side, there has not been any shift. Our centers in D.C. are performing, and we continue to see demand and good opportunities to add there. We recently added a Cava at our property in Towson, Maryland. We don't have a ton of assets in D.C., but we'd like to have more, but the ones that we have are all performing very well. We have a safely anchored center outside of Annapolis that we could probably lease 2x over if everybody vacated. So I haven't seen it on the tenant side. As far as institutional capital, are you talking more about like the buyer market for D.C. assets? Or are you talking about lenders?
Michael Gorman: The buyer side, yes.
Jeffrey Mooallem: Yes. I mean those deals are frothy. I would say Boston and New York are probably more in demand, but that's not a new thing. Boston, because there's such a supply-constrained market and New York because of all of the challenges with buying assets around here are always generating a higher level of institutional interest than maybe Philly or D.C. traditionally have. So I don't think that's necessarily a sign of where we are in the political cycle, more so just the way those markets trade.
Operator: Next question is from Paulina Rojas from Green Street.
Paulina Rojas-Schmidt: The industry is really highly leased. So what do you think the retailers are seeing that is different and will allow perhaps to sustain these high levels of occupancy for some time, instead of -- as it has been more frequently the case of peaks following almost like an inevitable slowdown in occupancy, another metric?
Jeffrey Mooallem: Paulina, it's Jeff Mooallem. I mean, the biggest thing is the supply and demand metrics are not changing anytime soon. This country built 60 million, 70 million square feet of new retail a year up until 2008, 2009, 2010, and it has leveled off to the 10 million to 20 million square feet of retail a year being built, and a lot of retail coming offline. And eventually, that lack of supply, the demand catches up. We are in that moment right now. Traditionally, in most businesses, the way to change that moment and send it back towards a higher supply, lower demand market is to build more space, and that's going to be very difficult to do in our product type and in our markets. And we've talked about this before, but surface park single-level retail centers, especially in the Northeast, there's just not going to be a whole lot more of them, so we think we have pricing power with the ones we do own. Now will there be short-term fluctuations as certain tenants who have outdated concepts come out and other new tenants come in? Will some centers become functionally obsolete and turn into other things over time? Sure. But the greatest tailwind we have as an industry, and what gives us the most conviction as an industry is that the supply and demand metric should continue to stay in our favor for a long time.
Paulina Rojas-Schmidt: Do you think you're able to single out anchors that are leading the expansion in the Northeast? Or it's really too dispersed to highlight a few names?
Jeffrey Olson: Yes. I mean, I think it is very dispersed. But certainly, Ross is a new entrant to the market. And they're being very flexible. They're paying the rent that's required that will give us a good return for putting them in our centers. So that's helpful, but all the TJX concepts are expanding widely in the Northeast. And you have to remember, the Northeast market is so densely populated that most national retailers are generating the highest sales in these locations just because of supply constraints, and they've run out of opportunities to find high-quality spaces. So there's almost an inverse relationship taking place, where if you can provide a retailer with a high-quality 25,000 or 35,000 square foot box that rent can be pushed a lot more than it used to just because there aren't many of those available as compared to the thousands of shop spaces that are out there that are more fungible.
Paulina Rojas-Schmidt: And my last question is, you still clearly have a path of growth coming from the signed not open pipeline. But looking past that, what do you think is Urban Edge's same-property NOI growth on an occupancy-neutral basis, given all these positive background that you have described?
Jeffrey Olson: Look, I mean, we still have a few years left of getting to this SNO pipeline, which, as you know, represents 7% of our NOI. So we have some tailwind there. We will certainly look to do some more capital recycling, too. I think this small deal, but an important one of selling $40 million, $50 million of assets with relatively flat growth, replacing it with 3% NOI growth. I think as a goal, we're going to look to be a company that can generate sustainable 3% plus growth. And I think we have some time to get there, same property growth.
Operator: There are no further questions at this time. I would like to turn the floor back over to Jeff Olson for closing comments.
Jeffrey Olson: Great. Thank you for your time and attention this morning. We look forward to seeing you soon.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.